Kenji Okada: Good evening, everyone. Thank you for your participation. I'm the Group CFO. My name is Okada. Today, we have announced our Fiscal 2022 First Quarter Results. So let me first explain about the first quarter earnings of Tokio Marine Group. Without further ado, please turn to Page 3 of the presentation material. There are mainly three points that I would like to convey to you today. First, although we are under the impact of COVID and natural catastrophe, strong results are maintained on a normalized basis, exceeding the original plan. Second, while the entire Taiwan B&C market is hit with losses related to sudden surge in case numbers of COVID, our own Taiwanese business is no exception, we do booking some one-off losses in the second quarter. Third, our full year projections based on these factors, indeed, we need to consider the Taiwan and other transient effects of COVID-19 and also incorporate the resurgence of COVID-19 outside of Taiwan, full year adjusted net income projection is still JPY 553 billion, and it's going to be sustained at this point. This is because of comprehensive consideration, including strong performance mainly in the overseas and we are still before the main natural catastrophe season. Therefore, we have announced – we have announced at the beginning of the year, pertaining to shareholder return and annual capital adjustment policy will not be revised at this point in the year. Now I'm going to get into details on each point that I mentioned. Please turn to Page 4. So first, on top line. Strong earnings in the first quarter was led by overseas businesses with net premium written increased by 11.3%, and increase in life premium by 8.3%. Even while excluding the FX factor, it was still an increase by 7% and 3.5%, respectively. This is faster pace than what we projected for the fiscal year. And overall, I would say the performance is strong. Next, the major factors comprising adjusted net income. I'm going to be explaining about the review of the first quarter and most recent trends. Please turn to Page 5 and 6. Starting with international insurance, both underwriting and investment did well with key overseas entities exceeding projections by about JPY 8 billion versus their own plan. Out of this upside, underwriting portion is JPY 4 billion, which includes a decline in natural catastrophe by JPY 2 billion. At the same time, it also includes additional provision for Russian Ukrainian war of negative JPY 4 billion that was not explicitly included in the original plan. So we would evaluate that performance to be strong with both numbers and components. However, this evaluation is based on the comparison of our own plan versus the actual earnings. So another viewpoint of how we are doing against the peers is important. Although this is not included in the material, we are internally comparing the underwriting profit of three major North American subsidiaries and their peers. In the first quarter, our group achieved year-on-year plus 150% whereas North American peers achieved plus 110%. Bottom line is even better. We are year-on-year plus 22%, but peers are negative 11%. There are various factors behind these numbers and should refrain from drawing a quick conclusion. But I believe it's fair to say that against the peers, overall, our performance is strong. Performance of major international subsidiaries' profits for the first half of the year on first quarter basis is an overachievement by JPY 22 billion compared to their local plan. And based on the FX rate as of the end of March, it was an overachievement by plus JPY 20 billion. Of the upside of JPY 22 billion, underwriting profit was JPY 18 billion, and this does not include decline in natural catastrophe by JPY 5 billion, this does include a decline in natural catastrophe by JPY 5 billion. Nevertheless, it is accelerating the pace of strong momentum continuing from the first quarter. As for Tokio Marine Nichido Life, progress against their annual plan is now 20%. And this appears low compared to the last five-year average range of progress for the time of the year. In the first quarter, transient effects includes the following. Due to the hail damage in June, spending of natural catastrophe budget on pretax basis is negative JPY 24 billion, which is half the pace of spending than usual. There is impact of South African floods. There is worsening of those ratio in auto insurance due to the recovery from COVID and larger payout of COVID-related claims as rate of infection got higher. There is also an increase in provision for foreign currency-denominated reserves due to depreciation of yen and FX devaluation loss. The progress of business unit profit after excluding these transient effects is 40%, which is almost on the same level as the average for the past five years calculated on the same measurement. And therefore, if we exclude the transient effects, the progress of TMNF is in line with the plan. The impact by yen depreciation is negative for TMNF. But on the Group level, there is a positive increase in international businesses profit in yen terms and on a full year basis, JPY 1 depreciation translated to a positive factor by plus JPY 200 million. Next, I will talk about Taiwan COVID situation. So please turn to Page 7 and 8. The company runs the business in Taiwan through Newa Insurance, a joint venture with Yulon Group, a major auto related conglomerate in Taiwan, where Yulon Group has a controlling stake. The zero COVID policy in Taiwan had been successful in limiting the number of cases at a very low level. But with the sudden change in policy in April towards phasing out from zero COVID to living with COVID, the number of cases surged. The impact of this change was so dramatic that the entire Taiwan B&C market suffered a large blow. Newa Insurance was no exception. With insurance claims arising from June, Newa decided to recognize in Q2, JPY 134.8 billion before tax in estimated ultimate loss from COVID for the full year. This loss calculation is based on approximately 30% aggregated infection rate including certain level of buffer. The projected – projection rate of Taiwan is now at approximately 20%. As a result, the impact on the TMNewa's bottom line is a loss of JPY 110.1 billion after tax of which 49% corresponding to our stake in the company for JPY 53.9 billion is the impact expected in Tokio Marine Holdings' second quarter results. Number of cases could further increase. While it is difficult to foresee how cases will grow from here, its cumulative infection rate reaches the same level as Korea, highest in Asia, which is currently at 38%. Additional loss incurred is expected to be approximately JPY 18 billion before tax. Having said that, let me take you through our view on the impact and response to COVID related loss in Taiwan. First of all, COVID has had a major impact on the insurance market around the world, but the extent of the impact varies by countries. In Taiwan most insurers, predominantly major players have sold COVID insurance in one form or another. None anticipated the phaseout of the zero COVID policy and therefore, this became a major market event and Newa was no exception. In the meantime, while there were glitches due to COVID as shown on the graph on Page 8. The Taiwan P&C market is one of the largest in Asia after Thailand and Indonesia in size, combined ratio is stable below 95% and profitable. More than 6% growth is expected. It is a market with growth potential. In that context, Newa, setting aside COVID has built a strong presence in the market by beating the market in growth over the past three years with stable growth in net premiums written and profit and now ranked fourth in the market. Taking these aspects into consideration, we will acquire majority share of Newa and improve TMNewa's ERM to world-class level under our leadership. We will incorporate the high growth and profitability of the Taiwan market through a new TMNewa. We have reached agreement with Yulon Group and Taiwan authorities on this matter and we'll take steady steps forward. In closing, impact of COVID in and outside Japan including in Taiwan and natural catastrophes must be watched closely. Yet, on a normalized basis, the underlying trend is favorable and various challenges will be addressed firmly. As mentioned in May, we will strive to raise EPS and ROE, while suppressing volatility by steadily executing our business strategy to respond to the expectations of the capital markets. Your continued understanding and support is greatly appreciated. That is all from me.
Q - :